Operator: Good afternoon. Thank you for standing by and welcome to AppFolio Incorporated Third Quarter 2021 Financial Results Conference Call. Please be advised, today's conference is being recorded and replay information will be given at the end of the broadcast. [Operator Instructions]. I would now like to hand the conference over to Erica Abrams.
Erica Abrams: Thank you, Emily. Good afternoon everyone. And thank you for joining us today as we report AppFolio 's third quarter of 2021 financial results. With me on the call today are Jason Randall, AppFolio 's president and CEO, and Fay Sien Goon, AppFolio 's CFO. This call is simultaneously being webcast on the Investor Relations section of our website at www.. appfolioinc.com. Before we get started, I would like to remind everyone of AppFolio's Safe Harbor policy. Comments made during this conference call and webcast contain forward-looking statements within the meaning of Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections, or other characterizations of future events, including financial projections for future market conditions, is a forward-looking statement. AppFolio's actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in our SEC filings. AppFolio assumes no obligation to update any such forward-looking statements, except as required by law. Please see our filings with the SEC, including our Form 10-Q, which was filed earlier today for greater detail about risks and uncertainty. With that, I will turn the call over to Jason Randall, AppFolio's President and CEO. Jason, please go ahead.
Jason Randall: Thank you, Erica. And welcome to everyone joining us for AppFolio's third quarter of fiscal year 2021 financial results. Our third quarter results reflect our continued focus on delivering foundational software, and exceptional experiences to our growing base of customers in the real estate industry. Within AppFolio Property Manager, we're giving our customers the innovative solutions they need to solve their biggest challenges. This excludes -- this includes mobile-first experiences designed to enable seamless business operations, more flexible leasing solutions to accommodate new hybrid modes of operating, and smart automation that can help drive down the timing costs of recurring business operations for more than 6 million units now on our platform. During the third quarter, we partnered with the National Apartment Association to better understand the top challenges facing Property Managers today as part of our ongoing commitment to help customer stay at the forefront of the real estate industry's rapid transformation. Many property managers are encountering the same staffing shortages affecting the broader U.S. economy. In fact, the research revealed that HR, staffing, and recruitment is by far the most urgent challenge for property managers, followed by operational efficiencies, and maximizing revenue and profits. Recruiting and retention challenges make it even more critical for our customers to automate and standardize their processes and systems, enabling them to operate effectively and efficiently amid staffing constraints. A modern cloud-based solution like AppFolio property manager addresses many of these challenges and it is a competitive differentiator, giving our customers employees space and time to execute valuable business activities by automating some of the most critical aspects of property management across accounting, financial reporting, maintenance management, and leasing. According to the Chief Operating Officer, Redwood Property Investors, AppFolio Property Manager does it all. My team feels more empowered and enabled, and our Company is undoubtedly a better place to work now. Technology is no longer an excuse, it's an advantage for us. It has even helped us attract new talent. Our customers are in the midst of budget and planning season, a time when they're planning for future growth and optimizing expenses. And one of our customers biggest optimization opportunities is in the area of maintenance. To that end, this past quarter we introduced AppFolio's Smart Maintenance, a modernized version of our maintenance contact center. This maintenance management and vendor dispatch service is designed to meet the high-volume needs of our customers with larger portfolios. AppFolio's smart maintenance provides customers with greater speed and accuracy and more consistency for operations. With multi-channel flexibility and smart operations such as AI-powered text and predicted prioritization. Our customers can quickly dispatch vendors and reduced [Indiscernible] hold times. In the third quarter, we also introduced loan tracking and accounting automation, enabling customers to begin tracking to taken loans and mortgages within that earlier property manager to further streamline accounting processes, thereby saving time and making it easier for property owners to assess and optimize their debt financing strategy. Additionally, we're making the leasing and renewals flow more convenient and flexible by offering our customers the ability to use any leasing forms, of their choosing with the full benefits of our digitized workflow.And we're continuing to invest in mobile optimized experiences and now provide offline accessibility for property inspection workflows. For our customers with more complex portfolios using AppFolio Property Manager Plus, we've continued to invest in the areas of corporate accounting and management, leasing workflows, communication automation, and technology integrations to deliver more predictable operations and better resident experiences. According to the president of TCS Property Management, our value to our clients is greatly enhanced by AppFolio Property Manager Plus, allowing us to offer more services to our clients and their tenants. Over the past 6 years, we've achieved growth levels that have surpassed our wildest expectations. Turning to AppFolio Investment Management, we expanded capabilities in the third quarter to allow real estate investment management customers to deliver a modern investor experience, while also gathering the insights and maintaining the visibility they need to more actively manage and grow their business. This includes streamlining investor communication with contact activity history, enhancing our investor portal mobile experience, and enabling 506-seat fundraising support. We believe being trusted advisors to our customers is key to our success and we continue to cultivate these partnerships through education, training, and events. The third quarter marked the ninth year of our annual customer conference, which continues to grow and evolve in lock step with our customers. The Virtual Conference was available at no charge to all customers providing a digital space for product showcases, training, and customer research. We highlighted new capabilities across marketing and leasing, maintenance and operations, accounting and budgeting, and customer service. We use opportunities like customer conference to maintain strong customer connections and gather feedback and insights to drive product and service innovation. Finally, since our last update, we've continued to garner industry recognition for our Company culture and overall success being recognized by Fortune twice as the best place -- best workplace for women marking our fourth consecutive appearance, and second as one of the 100 fastest growing companies for the second consecutive year. This type of recognition is especially meaningful because of our long held belief that a great workplace and engaged employees are foundations delivering exceptional customer experiences. As we head into the end of 2021 and beyond, I'm grateful for the dedication of our employees to serving the evolving needs of our customers and our ecosystems, leveraging modern experiences and rapid innovation to help them be efficient in new ways and in turn contributing to long-term sustainable growth for AppFolio. Since our last update, Fay Sien Goon became Chief Financial Officer of AppFolio, her experience will be instrumental in helping us execute on our vision and transform the real estate industry. I am pleased from our comps AC intimate leadership team and believe our experience, commitment to operational excellence, and focus on customer success strongly overlap with our culture and our focus on continued growth. Thank you to AppFolio's finance organization, organization for their support and commitment to the high performance during this transition. I will now turn the call over to Fay Sien for more detail on AppFolio's financial results.
Fay Sien Goon: Thank you, Jason. It's exciting to be a part of AppFolio in this phase of growth, to join the Company with engaged customers, a great culture, and a commitment to innovation. I'm looking forward to helping the team execute on our vision to revolutionize the real estate industry. For the quarter, we reported total revenue of $95.8 million and a GAAP net loss of $141,000. GAAP net loss includes $4.1 million in stock-based compensation expense. Our Form 10-Q was filed earlier today and includes more details on our results. On the call today to enhance comparability. I will discuss the results of our continuing Real Estate revenues, excluding the impact of our former MyCase business which we divested in the third quarter of 2020. To the end, revenue from Q3 2021, represents a year-over-year increase of 28% of a revenue from our continuing business in the same quarter last year of $74.6 million to increase is mainly due to growth in the number of property management customers we serve, which correlates to an increase in use of our core subscriptions solution. in our usage base in Value Plus services. Our Value Plus services are designed to enhance, automate, and streamline processes and workflows that are essential to our customer's businesses. At the end of the third quarter, we had approximately 16.8 thousand real estate property management customers, managing over 6 million units in their portfolios compared to approximately 15.4 thousand real estate property management customers, and over 5 million units a year-ago. Call Solutions revenue derived from subscriptions to customers was $26.9 million in Q3, an increase of 23% year-over-year. Value+ services revenue was $65.6 million, a year-over-year increase of 34%. Q3 revenue from our very parts services benefited from increased demand for our electronic payment services as residents, property managers, owners, and customers transacted more business online than they did a year ago. For the more usage of our tenant screening and insurance services offerings increased year-over-year as we saw, increases in units under management. As a reminder, a significant majority of our Value Plus services revenue comes directly and indirectly from the use of our electronic payments services, tenant screening services, and insurances services, all of which we make available to customers and other constituencies in the property management ecosystem. Turning now to spending. Our year-over-year increase in expenses is primarily related to additional headcount needed to fill outgrowth, additional marketing spend, and then increase in third-party cost of revenues in line with the increase in the relevant Value+ services revenue. These expense increases in the third quarter were offset by a $1.9 million insurance recovery related to our prior year previously disclosed settlement with the Federal Trade Commissions. With a solid third quarter behind us, we are raising our full-year outlook. We are raising guidance for total revenue to $355 million to $357 million dollars, from $350 million to $355 million dollars. The midpoint of the range represents a full-year year-over-year growth from continuing real estate operations of 25%. We continue to expect our weighted average diluted share count for the year to be approximately 36 million shares. Thank you all for joining us today. I will now turn the call back to the operator. Please go ahead.
Operator: Thank you for joining today's call. You may now disconnect your lines. Please be advised to a replay will be made available shortly.
Q – :